Operator: Greetings. Welcome to the CorEnergy Third Quarter 2023 Results Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Matt Kreps, Investor Relations at CorEnergy. You may begin.
Matt Kreps: Thank you, Holly, and thank you, everyone, for joining today's CorEnergy Infrastructure Trust Conference Call. With me today are Dave Schulte, CEO and Chairman; Robert Waldron, President and CFO; and Chris Huffman, our Chief Accounting Officer. Robert and Chris will provide updates on our business operations and results and will be available for Q&A. Earlier this morning, we published our press release announcing our third quarter results for 2023. We expect to file our Form 10-Q later today. I would like to remind everyone that the statements made during the course of this presentation that are not purely historical may be forward-looking statements and subject to the safe harbor protection available under the applicable securities laws. Important factors that could cause actual results to differ materially from those in the forward-looking statements are discussed in our filings with the SEC. These documents are available on the Investor Relations section of our website. We do not update our forward-looking statements. During this call, we will make reference to certain non-GAAP metrics, which are reconciled in our filings as part of our results reporting. We encourage you to review our complete disclosures, risk factors, GAAP financial numbers and those non-GAAP metrics with the related reconciliations. And with that, I would like to now turn the call over to Robert Waldron. Please go ahead.
Robert Waldron: Hello, everyone. The third quarter came in largely as expected as we worked through lower volumes and escalating expenses, which are primarily being addressed through our rate filings as well as work to improve our capital structure through the MoGas sale. I'm pleased to say that we have made progress in each of these areas but still have work to do. Starting with the sale process for MoGas and Omega, we continue to expect it will close around the end of the calendar year. As you may recall, our initial closing was delayed due to an additional information request from the FTC. Both CorEnergy and Spire have submitted all requested items, which puts the FTC on the clock for a decision around the end of the calendar year. With the proceeds from the sale, we plan to deleverage our balance sheet, addressing our pending Crimson credit facility maturity in May, which will allow us to then focus on the convertible debt due in August 2025. Our MoGas and Omega operations, which serve the St. Louis area, continued their steady performance in the third quarter. These entities are included in the proposed $175 million sale to Spire announced May 25. Turning to our Crimson assets, we continue to see headwinds on the volume side as the regulatory environment for the upstream has not changed. The producers in California continue to have difficulties in permitting. And it is unclear when or if that will change. The producers are finding ways to slow decline despite the lack of new -- of drilling new wells. But unless something changes, it will likely result in steeper volume declines over the next decade compared to the last three decades. On a positive note, we did see new volumes as a result of the pending P66 refinery conversion to renewable refined products. November nominations on SPB were approximately 15,000 barrels a day higher than the 9-month historical average in '23. The P66 refinery isn't scheduled to officially convert until Q1 2024, so we can't draw any long-term conclusions on one month of data, but it is a positive data point. The volumes over the next six to nine months on SPB and KLM could experience material volatility as the California crude oil supply chain adjust to a California refining complex without P66 for now. Crimson, like the rest of the world, has experienced cost escalations in virtually every expense category, given the extraordinary inflationary pressures over the last two years. However, there are three expense categories which have increased well above inflation: maintenance, electricity and interest expense. While I don't anticipate the interest rate to continue to move higher from here, our maintenance and electricity costs are anticipated to continue their upward trajectory into 2024 and potentially beyond. The California State Fire Marshal has increased focus on crude oil pipelines, which has resulted in higher interest expenses in 2023 and likely higher yet in '24. All of the new requirements are reasonable and result in safer and more efficient operations, so we're glad to comply. The reason for higher electrical expense is the per-unit electricity rates charged by California electric utilities has dramatically increased and is expected to continue to increase as they support the energy transition and also address general grid safety around fire hazard. As a regulated utility, Crimson should be able to adjust tariffs to overcome these higher costs. However, the rate-setting process is too slow to accommodate the speed of change we have seen in these expenses and also volumes over the last one to two years. As a result, this week, SPB and KLM will file a request for an acceleration of the pending rate, the tariff increases previously requested on those systems. The filing requests an immediate tariff increase of 23 point -- 24.3% on SPB and 27.6% on KLM. This filing does not increase the previously requested total tariff increases, but rather just accelerates them to help eliminate the current negative cash flows. The timing of the response from the CPUC is unknown, but the Company is hopeful for a Q1, 2020 resolution at the latest. Our filing simply says that Crimson has operated with negative cash flows in 2023 which will likely spill over into 2024, and it's not fair that the Crimson shareholders have to fund the cash flow gap. The shippers should pay for these increased expenses to safely operate the pipeline, which is critical for their business. While this type of request is not frequently granted by the CPUC, I believe we are on the right side of the facts on this one. We continue to see promising opportunities in energy transition, which are expected to contribute positive cash flow in three to five years. However, our primary focus in the near term is selling MoGas and Omega, addressing our capital structure and restoring Crimson to profitability. With that, I'll turn it over to Chris to address the financials and other notable items.
Chris Huffman: Thanks, Robert. Similar to last quarter with the sale of MoGas and Omega pending, I will address Crimson results then corporate and noteworthy balance sheet items. Crimson transported volumes decreased in Q3. However, that decrease was offset by the impact of rate increases on our Southern California pipeline and favorable PLA results to generate a slight increase in transportation and distribution revenue quarter-over-quarter. Crimson volumes remain below historical levels, and natural decline rates continue to be affected by new limitations on California drilling permits and low development activity. I should also note that the previous quarter included $7 million in PLA sales, which was unusually high compared to historical trends as Crimson was reducing PLA inventory levels during that quarter. The $4 million in PLA sales during the third quarter are representative of more normal sales rules. These PLA barrels are reflected within transportation revenue in the quarter they are earned regardless of the quarter in which they are sold. As a reminder on our progress on implementing tariff increases Robert previously mentioned, as of the end of the third quarter, we are collecting 21% of our requested 35% total rate increase on our Southern California pipeline system, 10% of our requested 36% total rate increase on our SPB system and 10% of our requested 128% total rate increase on our KLM system. During the fourth quarter, we will implement an additional 10% increase on our KLM system. And during the first quarter of 2024, we will implement an additional 10% increase on our SPB system if our request for accelerated rate increases is not granted. The full benefit of the 21% rate increase for SoCal and 10% rate increases on SPB and KLM are included in the financial results for the quarter. The requests are subject to refund if found not to be earned. Turning to the cost side, the full implementation and benefit of our previously announced cost-reduction initiatives are evident in the Company's third quarter results, with general and administrative costs down approximately $800,000 quarter-over-quarter. These savings were already included in our 2023 outlook and rate case filings. Even with these cost reductions, we believe Crimson's cost of service fully justifies all requested increases. And we have defended our costs inside the formal CPUC process. I might note that as a publicly traded Company, our shippers are aware of our costs. And we believe the protest on our rate cases will only succeed in delaying, not avoiding the implementation of requested tariffs. As part of our rate application process, we have requested retroactive application of our rates. And as a result, shipper motivation to delay may be reduced since their litigation costs are not recoverable. We continue to evaluate whether the requested rate cases once fully implemented will be enough to bring us back to earning our cost of service, given the uncertainty around SPB and KLM volumes and the expense escalation we have seen since the filing the initial rate cases. We expect to have more clarity on SPB and KLM volumes post the P66 refinery conversion as well as finalize our 2024 and beyond forecast in light of the escalating electrical and maintenance expenses. At the end of the day, Crimson is a regulated entity and should expect to earn a reasonable return on its capital. But the regulatory process was not designed for the highly dynamic environment we have found ourselves in over the last one to two years. For the three months ended September 30, we had adjusted EBITDA of $4.8 million and adjusted net loss of $3.3 million. Our adjusted EBITDA was insufficient to cover both maintenance capital expenditures and accrued interest expense during the quarter. The Board evaluated these results and agreed with management's recommendation to continue the suspension of dividends on both our Series A preferred and common equity. As a reminder, CorEnergy's 7.375 Series A cumulative redeemable preferred stock will accrue dividends during any period in which dividends are not paid. Any accrued Series A, cumulative redeemable preferred dividends must be paid prior to the Company resuming common dividend payments. Although no cash payments were made on the preferred stock, the Company has included the effects of the cumulative unpaid dividends in the financial statements. The Board will continue to evaluate dividends each quarter, making the decision on dividend payment based upon the most current data available. We are focused on implementing our requested rate increases and completing the MoGas sale in order to deleverage the Company and mitigate the associated financial risks we face. These risks and mitigants are disclosed in our third quarter 10-Q, which will be filed later today. Regarding our outlook, which includes the results of MoGas and Omega, we are maintaining our full year 2023 adjusted EBITDA range of $24 million to $26 million, inclusive of maintenance expense in the range of $9 million to $10 million. Maintenance capital expenditure is expected to now be in the range of $11.5 million to $12.5 million. These costs are not expected to be uniform throughout the year due to project timing, which has resulted in the back half of 2023 bearing the majority of these costs. While not yet providing our 2014 outlook, our comments reflect the cash flow uncertainty we face as we enter our 2024 budgeting process. At this time, we will take questions from our covering analysts or institutional stockholders before closing the call. Thank you.
Operator: [Operator Instructions] Your first question for today is coming from Selman Akyol at Stifel.
Selman Akyol: Thank you. Good morning. So in this quarter, you guys had, I guess, transaction expenses, $900 million to $1 million. And I guess all that would be related to MoGas. And I guess going forward, do you still see more of that as it relates to, I guess, trying to get approval and get all sign-offs? Or should we expect that to come down pretty materially?
Robert Waldron: I'll take that. I think the bulk of the FTC work for us was largely done in the third quarter. There was a little spillover probably in the first to the fourth quarter, but it should -- that expense should be down significantly from third.
Selman Akyol: Got it. And then is it more now on Spire's end or I guess any additional color you got there?
Robert Waldron: Yes. It's -- it really is -- everything is in and certified. And it's in the FTC's hands right now.
Selman Akyol: Okay. And then you guys talked about the fire marshal and additional regulations. Do you guys see more of that coming as we go into '24? Is it just kind of like an ever-increasing tightness? Or is it you think you pretty much complied with everything, and you're done?
Robert Waldron: Yes. So everything that we know of we think we've gotten our arms around, understand the requirements. It's very specific areas, not just specific to Crimson. It's crude oil pipelines in California. But it's things like corrosion, under-insulation on insulated pipes, long seam welded pipes, which have a history of potentially having issues, idle lines and how to deal with them, make sure that they're properly idled and then also, around facilities that normally don't have the typical inspections like smart pigging or in-line inspections, just a little heightened awareness and scrutiny around those assets and pipeline. All of those things, as I mentioned, are great and the right thing to be doing operating in California. And we've been working with the fire marshal, I'd say, over the last year or so to understand what is required of us on a go-forward basis. And I think we pretty much have that figured out now. And it will be -- we'll have a lot more detail in our 2024 outlook. But we've been facing those expenses. They've been rolling in through '23 as we work through those different areas of focus. And I'd also say that the fire marshal is just more focused, in general, on -- post COVID, they significantly increased their staffing levels and they're just -- we have more audits and higher level of scrutiny on the operations. And that is reflected in higher maintenance expenses.
Selman Akyol: Got it. And that's why it's going to -- I guess, the uptick in maintenance expense, that's all related to this?
Robert Waldron: Exactly. I mean, it's -- there's obviously some general expense escalation that we see. But generally, the increase in '23 was due to some of these initiatives by the fire marshal and increased activity. And we expect to see that spill over into '24 and the '20 -- and our '24 outlook.
Selman Akyol: Got it. And then just the last one for me. In terms of sort of the accelerated filing on the pending rate cases. And I think you alluded to this to your comments, and I just missed it. So it doesn't -- on Crimson on the SPB system, that will get you your -- the remaining 26% of the tariff increase that you've asked for and then something less on the KLM system of the remaining 107%?
Robert Waldron: Exactly. So it takes SPB to the full rate, and then KLM, we didn't double the rate on KLM. We took it to something slightly higher but not to the full ask. And there is going to be -- or we recommended that there is an adjustment period in the summer of '24 just in case -- depending on where volumes go and depending on where expenses go. But what we're really trying to solve for with this, bringing forward of what we think are the right rates on the system instead of waiting for the rate case to be resolved is to really reduce the cash burn on the Crimson assets. Now we've asked for retroactive treatment on our rate cases. So that would come back. And we'll be able to collect all that negative cash flow that we incurred while we waited for the rate increases. But we just feel like it's just -- it's too much. And given where the Company is and what we're trying to do, it's a reasonable request. And we feel like it should be granted. And it has -- I think there's been three cases that have received approval for situations like this. And I think our fact pattern is right in the bull's eye.
Selman Akyol: Got it. And then how long will it take them to either say yes or no?
Robert Waldron: It's hard to say. We've been -- it's been challenging to predict CPUC timelines as you can -- we've all lived through the change of control process. We think -- look, the CPUC doesn't want a utility to struggle and they -- the utility should be earning its reasonable cost of capital, certainly not be negative cash flow. So we're optimistic that it will garner the attention of the CPUC, and they'll respond in an expedited manner. But it just -- this is kind of -- it's not unprecedented, but it's just not a very well-trodden path. And so it's hard to predict the timing. But we would -- we're obviously going to do everything to get it in front of the commissioners or the ALJs so that they are aware of the situation, explain it. And we think it will gain traction, but timing is very difficult to estimate.
Selman Akyol: Okay.
Robert Waldron: But I will say one thing about that is the Southern California rate case, and that's why we didn't include it in this request is we expect that to be resolved Q1 '24. And San Pablo case and KLM, which is now combined, we expect that to be resolved Q4 '24 or maybe Q1 '25 the latest. And so that's why we think it should be resolved -- this immediate acceleration should be resolved in short order, in the order of months because of -- the total rate case is going to get resolved in, let's call it, 12 months, 12 to 14 months from now. So it should be acted upon pretty quickly.
Operator: We have reached the end of the question-and-answer session, and I will now turn the call over to Robert for closing remarks.
Robert Waldron: Thank you for joining us today. We are diligently working to resolve our current challenges, and we'll provide updates as appropriate. I want to thank our team for their hard work and dedication this year. Our MoGas and Omega team has remained focused on maintaining efficient and safe operations throughout the divestiture process, while our Crimson team has really stepped up after the senior management changes earlier this year. It's an honor to work with such a dedicated and professional group of people, including our corporate group. Please contact our IR team if you'd like to arrange a meeting time. Have a great day.
Operator: This concludes today's conference. And you may disconnect your lines at this time. Thank you for your participation.